Thomas Heath: [Call starts abruptly] Thank you, operator. Welcome, everyone, to this Q3 Earnings Call with Sinch AB. My name is Thomas Heath. I'm Chief Strategy Officer. And with me today, I have our CEO, Laurinda Pang; and our CFO, Roshan Saldanha. And with those opening remarks, I want to hand the word over to Laurinda.
Laurinda Pang: Thanks, Thomas and good afternoon, everyone. Thanks for joining us today. Let's briefly look at Slide 2. Sinch is pioneering the way the world communicates. Our Customer Communications Cloud enables businesses throughout the world to reach, connect and engage with their customers to break through the noise and interact through mobile messaging, voice calling and e-mail. We handle more than 800 billion unique customer interactions per year for more than 150,000 businesses across the world. Over the last 12 months, we generated SEK28.5 billion in net sales, SEK9.6 billion in gross profit and SEK3.6 billion in adjusted EBITDA. Let's move to Slide 3, please, where we summarize some of the key financial highlights. Overall, I would describe our performance as stable. Gross profit grew 1% in the quarter organically in constant currencies, with a similar gross margin compared to Q3 last year. We recorded an EBITDA margin of 11% and an adjusted EBITDA margin of 13%. This outcome matches the lower end of the expectations we outlined in Q2, where we said we expected low-digit growth in gross profit. And you will recognize the headline figures from our preannounced results as we notified the market that we would record an impairment to goodwill ahead of today's planned earnings release. Looking ahead into Q4;.we expect flat to slightly negative growth in gross profit on a year-on-year basis. Slower momentum in the Americas is a key contributor. A weak end to 2024 also means we expect a slower start to 2025. We also expect our operating expenditures to increase somewhat during the year as we execute on initiatives that drive growth in 2026 and beyond. Turning to cash flow. We continue to generate strong cash figures with operating cash flow at SEK437 million despite the reversal of SEK240 million of early payments which benefited cash flow in Q2. We think the best way to understand our cash generation is to look at performance on a rolling 12-month basis. And we conclude on this horizon that our cash generation from adjusted EBITDA is up 61% which is above our targeted 40% to 50% range. Continued cash generation is also a key contributor to the reduction in leverage, with net debt to adjusted EBITDA now at 1.6x, down from 2.2x 1 year ago. While we continue to deliver healthy profitability and strong cash flow, we are clearly not delivering the growth rates we aspire to in revenues and gross profit. This brings us to the topic of transformation and execution of our growth acceleration plan. You will recall that the plan covers 3 areas with initiatives around go-to-market transformation, product integration and operational excellence. Our initiatives around operational excellence focuses on our internal efficiency. As we transitioned into our new operating model from the 1st of January this year, we targeted initial run rate savings of SEK300 million by the end of 2024. I'm pleased to report that we have exceeded this ambition as of Q3, as our realized savings of SEK84 million translates into SEK335 million on a full year basis. We see opportunity to unlock future efficiencies in future years as we strengthen our internal tooling, harmonize our processes and decommission legacy IT systems. Work towards these objectives is progressing already today but is phased over multiple years and it will take some time before we can attain further efficiencies. Let's pause briefly on Slide 4 for an overview of our business mix. On the 1st of January, we transitioned from a business unit structure to a more integrated organization. The 3 regions, Americas, EMEA and APAC, now form our operating segments, with the Americas contributing more than 60% of total gross profit. We have introduced new product categories and now refer to our API platform, Applications and Network Connectivity. To add visibility into our cost base, we also now disclose adjusted OpEx by function, where R&D in largest category. Let's now move on to Slide 5 to look at performance by segment. In the Americas, we are reporting a slight increase in gross profit on a year-on-year basis in constant currency. Gross profit is helped this quarter by a timing effect in our cost of services sold, where SEK40 million related to Q1 and Q2 of this year is benefiting the third quarter. As anticipated last quarter, we have reduced the rate of decline for our Network Connectivity products but this improvement is offset by weaker performance in our API platform. In EMEA, we report a 3% decrease in gross profit on a year-on-year basis as the improvements we are seeing in our Applications offering is offset by the decline in the API Platform and Network Connectivity. We are optimistic though that EMEA will see improved performance in future periods as the negative growth impact from exited fixed-price contracts in our SMS business will ease from Q4. In APAC, we are recording stable revenues and 12% growth in gross profit. The improved gross margin relates to change in mix with India a continued contributor to gross profit growth. Looking at our commercial activities in the quarter; we hosted the inaugural Sinch RCS Innovation Day together with Google at their campus in Mountain View, California. This was one of the multiple joint events around the world we hosted with Google during the Autumn as we collaborate to drive awareness and interest around RCS. In EMEA, we cooperated with MINDD, a Dutch medical technology company, to develop an innovative AI solution that helps pre-triage patients. And in APAC, we announced a partnership with Singtel, where we are the first cloud communications provider to provide RCS messaging services to businesses in Singapore. Let's move to Slide 6, please. Slide 6 looks at the financial development by product category. Whereas we see our API Platform and Applications offering as our future-oriented growth drivers, the Network Connectivity products are managed more for profitability. Organic growth in gross profit on a year-on-year basis was 6% for Applications and 2% for our API Platform this quarter. For Applications, this means that we are seeing a slight improvement compared to the second quarter but for the API Platform, this implies a slowdown. Improved year-on-year performance in e-mail is offset by weaker performance in SMS and the large relatively -- relative contribution of SMS causes a lower growth rate overall. The development in Network Connectivity has continued to improve as we have slowed the decline compared to the first and second quarter of this year. Gross profit for this product category contracted 5% this quarter and Roshan will share some more commentary, specifically for the Americas region in a moment when he reviews the financials. Before that, let's turn to Slide 7 for a brief commentary on recent developments in RCS, the new messaging standard designed to succeed SMS. Earlier this fall, Apple introduced iOS 18. This latest version of the iPhone Operating System introduced support for RCS messaging, a long-awaited development that dramatically improves the default messaging interoperability between iPhone and Android. With iOS 8.1 released on the 28th of October, Apple added support for RCS Business Messaging, or RBM. Compared to SMS, RBM adds a range of new features that business benefit as well as their customers. Features like branded and verified senders, rich media, read receipts, carousels and suggested replies. These features will roll out gradually as Apple introduces RCS on a market-by-market basis and conducts interoperability testing with each mobile operator in each country. This will not happen overnight and progress will be gradual. But the key message that I want to convey to you is that RCS is happening and it is happening now. The default messaging experience available on every new phone is getting a significant upgrade. We're excited about the value it can create for customers and the value it can create for Sinch as we execute towards this opportunity. Driving awareness is a key part of that effort and you can see on this slide some footage of our joint activities with Google during the fall. With those remarks, I want to hand the word over to Roshan to take us through the financials.
Roshan Saldanha: Thank you, Laurinda. And a very good afternoon to all of you on the call. Let me start by reviewing our financial development for the quarter and move us on to Page 9. Net sales for the third quarter were up organically 2% year-on-year. This can be compared to a year-on-year decline -- organic decline in net sales of 1% in the previous quarter. We see volumes picking up in our core products driving up net sales. Looking to the regions, Americas grew 5% and APAC was flat, whereas EMEA was down 4%. Organic net sales decline in EMEA has reduced during the year as the impact from us exiting some fixed-price contracts reduced sequentially and is completely rounded off in comparable periods from Q1 2025. Reduced revenues from the 8YY toll-free reform affected the Network Connectivity product category in the Americas region by SEK12 million in the quarter. Within Network Connectivity, sales to operators of voice products have seen continued decline in volume as observed during last year. However, our actions on pricing have meant that revenues rose year-on-year during the quarter. Please turn to Page 10. Gross profit declined 1% on a reported basis but increased 1% organically in constant currencies to SEK2.4 billion. Growth in the Americas region was up 1% versus a flat Q2. EMEA was down 3%, whereas APAC grew at 12%. If we look at the GP growth in the APAC region, where India continues to perform well, we are seeing a lower oath rate now than we did a year ago. It is a competitive market. And we have a strong -- however, we have a strong position and we remain positive to its long-term outlook. In EMEA, as we said earlier this year, messaging development is hampered by us exiting certain fixed-priced contracts that we had last year. This is something we expect will diminish in Q4 and then completely rounded off in the first quarter of 2025. In Americas, we continue to see good growth in the Applications product category and continued decline in Network Connectivity. I will come back to Network Connectivity in a moment. However, looking more into the API Platform product category, this is where we are currently experiencing higher competition in the market, affecting our performance and ability to drive gross profit growth. Regaining momentum here is a key focus through a mix of near-term actions as well as focusing on our growth acceleration plan and new technologies such as RCS. Please turn to the next slide, Page 11. One of our main product categories is Network Connectivity which accounts for 20% of gross profit for the group in the quarter. Specifically, Network Connectivity in Americas accounted for 17% of gross profit for the group and consisted largely of products within the U.S. voice business targeting telecom operators. In Q1 of this year, we informed you that the reason for the 18% decline that you see on this page in year-on-year gross profit was related to a combination of the 8YY reform impact, increased network costs for voice connectivity services in the U.S. as well as reduced demand from operators. We were able to reduce this decline in Q2 to minus 12% and now again further in Q3 to minus 4%, due to good progress in our negotiations with those operators and pricing actions. Above all, we have reduced the risk for large increases of costs going forward. We are also reducing reliance on legacy connectivity through service virtualization and we'll use pricing as a further lever to manage profitability which is the key focus area for this product. The year-on-year impact of the 8YY reform on Network Connectivity in the Americas was a decline of SEK11 million in the quarter. Looking forward from Q4 and onwards, there is no year-on-year impact -- growth impact from the 8YY toll-free calling reform. All in all, we expect gross profit from Network Connectivity in the Americas for the second half of '24 to be roughly the same as for the first half year. This means we will expect a year-on-year gross profit decline also for this product category in the Americas in Q4. Please turn to the next page. This slide shows gross and EBITDA margin development for the business. Gross margin was stable and increased slightly by 10 basis points over the same period last year. The reason for the slowing growth in gross margins is due to decreasing margins within Network Connectivity, as explained previously in this presentation. We will see strong gross -- we still see strong gross margins in both the Applications and the API Platform product categories. EBITDA margin at 11% is down 1% year-on-year by currency movements -- driven by currency movements and lower cost for share-based incentive programs. Compared to previous quarters, EBITDA margin continues to be flat. While we have reached the initial cost savings that were envisaged due to our change in operating model, we expect operating expenditures to increase slightly in 2025. EBITDA adjustments are primarily related to integration costs, share-based incentive program costs and currency effects. Looking specifically at integration and restructuring costs, they are at SEK222 million on a year-to-date basis against the SEK300 million that we had guided for the full year. So we believe we are on track to that guidance. Operating expenses, excluding adjustment items, are flat year-on-year and declined over the previous quarter of Q2 despite merit increases on personnel costs which is of course the largest part of our operating expenses. We expect to reinvest the savings that we have realized into our transformation programs, substantially self-funding those programs. Adjusted EBITDA for the quarter came in at SEK923 million which is 2% lower than the same period a year ago due to cost control activities mitigating the gross profit decline. Adjusted EBITDA margin remained stable year-on-year at 13%. Please turn to the next page. Here, we show the continued strong free cash flow after investments, generating SEK293 million in the quarter and SEK2.2 billion on a rolling 12 months. Our cash conversion is helped by unlocking working capital to the tune of SEK221 million during the rolling 12-month period ending at Q3. As you may recall, cash flow in the previous quarter, Q2, was helped by payments of SEK240 million that we received from a few large customers earlier than due. This negatively burdened change in working capital for Q3 which came in at minus SEK255 million as these payments reversed. In the graph to the right, we show cash conversion from adjusted EBITDA on a rolling 12 months basis which was at 61% from adjusted EBITDA. While we still believe that our target range is 40% to 50%, we are delivering above that range due to optimization of working capital. Our business continues to operate in a very asset-light fashion with negative net working capital at quarter end. We paid SEK117 million in paid interest during the quarter, equating to an effective interest rate of just above 6%, including fees. Interest paid during the quarter declined compared to the second quarter due to the successful continuous deleveraging, which actually brings us to the next page, Page 14, please. Here, we see the development of the financial leverage ratio for Sinch which is net debt over adjusted EBITDA. We are glad to report a continued deleveraging as expected, with leverage now down at 1.6x compared to 2.2x a year ago and 1.7x at the end of the previous quarter. The KPI is measured excluding the impact of IFRS 16-related lease debt on both net debt and adjusted EBITDA. We have paid down debt by SEK2.5 billion during the last 12 months. Deleveraging continues to remain a key focus area for Sinch and we expect this ratio to continue to decline through underlying cash flow generation from operations and increase in adjusted EBITDA. Please turn to Page 15, where we give details on our debt portfolio. We had cash and cash equivalents of SEK1.1 billion at quarter end, in addition to the unutilized credit facilities of SEK4.6 billion and short-term overdraft facilities of SEK900 million that you see on this page. As you see on this page, our available cash and committed credit facilities at quarter end more than exceed any maturities during 2024 and 2025 of SEK3.2 billion and that is even before considering any further cash flow generation from the business. After the end of the quarter, the corporate bond of SEK673 million which you see on this page with maturity in November '24, was prematurely redeemed in October, partly using proceeds from a SEK500 million bond issued during the quarter. On Page 16, we are reiterating our financial target of adjusted EBITDA per share measured on a rolling 12-month basis which decreased 1% at the end of the quarter compared to a target to grow 20% per year. Our change in operating model and growth plan is intended to accelerate growth and thereby achieve margin expansion. Laurinda will provide an update on progress in this area shortly. Net debt over adjusted EBITDA at 1.6x, excluding the effect of IFRS 16 related leases, is well below our leverage policy of 2.5x and this is something -- this is an area that we expect to continue to deleverage. With those words, I'd like to hand back over to Laurinda to take us through the growth acceleration plan for Sinch.
Laurinda Pang: Thanks very much, Roshan. Let's move please to Slide 18. Repetition is the mother of retention, so this slide acts as a good reminder of the Sinch journey. We continue to focus -- be focused on profitability and cash generation. The new operating structure we launched in January was intended to accomplish several key objectives. First was to realize efficiencies by removing duplication and overlap and to reinvest them back into growth areas. We've accomplished what we set out to do here by overachieving gross cost savings. However, the ultimate objective of our plan is to return the business to growth rates above market over time. We have changed a lot inside of Sinch which we knew would create a slowdown within the organization which is why we've been communicating low single-digit growth. The good news is the market seems to be picking up and we will benefit from this dynamic, along with the benefits of our transformation in midterm. Slide 19, please. Our growth acceleration plan is a multiyear journey. Starting in 2024, we targeted annual run rate savings by fourth quarter of SEK300 million from the initial operating model savings. We overachieved this already in the third quarter with SEK335 million run rate savings. We said we would spend SEK300 million in restructuring and integration costs this year. Through the first 3 quarters, we have spent SEK222 million, of which SEK84 million was restructuring. We also said we would spend a total of SEK350 million in IT investments over the next 3 years to modernize our environment. While we have begun some of the IT investments in 2024, our gross savings have nearly offset these expenses. Investments do come ahead of additional efficiencies in the outer years and growth over the midterm. You'll hear more about our growth engines at the Capital Markets Day in 2 weeks. For now, I would say the early signs of growth, specifically average size of opportunity in the pipeline and orders booked, are both up year-over-year. We also had significant cross-sell wins where existing messaging customers have signed contracts for e-mail services. We are moving forward in the right direction. Slide 20, please. This is the same slide we shared last quarter with the cost reduction program concluded in third quarter. I would add that the launch of the single Sinch ID functionality for API Platform products is starting to bear fruit. This enabled us to promote the complementary products within our dashboard and generated our first true self-serve sales. I expect the remainder of the items to conclude in coming quarters and we'll provide an updated view for 2025. My final slide is Slide 21. This is a reminder about our upcoming Capital Markets Day on the 20th of November. We are excited to spend more time with you to discuss our market offering, our strategy for continued value creation. Please ensure to register, especially if you look to participate in person, to secure your seat at the event. And before we take questions, let me summarize the quarter. We executed well on our efficiency agenda by overachieving our gross savings program and delivering SEK335 million on a run rate basis 1 quarter ahead of schedule. We continued strong cash flow generation. Operating cash flow was SEK437 million and SEK2.8 billion over the last 12 months. We continue to reduce our financial leverage and our net debt is now at 1.6x adjusted EBITDA, down from 2.2x 1 year ago. At 1% growth in the quarter, our performance for gross profit growth is below our longer-term aspirations, although within our expectations for the near term. We expect flat or slightly negative gross profit growth in Q4 with a slow start to 2025. Expenditures that drive growth will increase slightly in somewhat -- beg your pardon, slightly in 2025 but we remain committed to profitability. With those closing remarks, we're happy to take your questions and I look forward to seeing many of you in 2 weeks' time.
Operator: [Operator Instructions] The next question comes from Erik Lindholm-Röjestål from SEB.
Erik Lindholm-Röjestål: You mentioned some increased competition here on API platform. Can you talk a bit perhaps about where this increased competition is coming from? Is it sort of other large, established players or is it new entrants? And also, is there any specific geography that really stands out here? I'll start with that and then come back with another question.
Laurinda Pang: Sure. Erik, I'll take that one. And so we're calling out specifically the Americas region as it relates to SMS, the SMS business. And we're starting -- or we saw in the quarter some pressure from a price perspective. And these are not new entrants, these are established players. And the good news is that these are long-standing relationships that we have with some of our most large customers and we've retained that business but at a slightly lower price point.
Erik Lindholm-Röjestål: All right. Perfect. That's good. And then following up on growth, perhaps. If you think about the moving parts into next year, I mean, are we -- you're talking about the slow start to next year which I guess implies continued low single-digit organic growth, perhaps. But do you assume any improvement in macro conditions for this? Or is it sort of -- is the improvement mainly driven by internal factors?
Laurinda Pang: Yes, absolutely and thanks for the question. I think, first of all, I mentioned in my prepared remarks the fact that Sinch is going through a tremendous amount of change inside of the organization and we anticipated our own slowdown. When we gave that low to single-digit growth rate forecast for all of '24 and now as we enter -- or as we exit the year, none of those contemplated a change in the market. So this is all about internal Sinch execution, us pulling out of -- the changes that we're currently making. And to begin the traction -- to see the results of the traction that we're starting to see. I already mentioned some of the leading indicators that we've already been seeing, particularly on the commercial side. That is everything to do with pipeline growth, pipeline hygiene, increased size of the opportunities within the pipeline, orders booked. So these are all positive growth drivers or growth signs for us.
Operator: The next question comes from Predrag Stevanović from Carnegie.
Predrag Stevanović: First is on growth. And if we look at other CPaaS companies and communication companies, we note that Sinch is underperformance in growth and you've said it yourself. Can you hear me?
Laurinda Pang: Predrag? Sorry. We can now. I'm sorry, you cut out, so I didn't hear the beginning of your question.
Predrag Stevanović: Yes. Sorry about that. I'll repeat myself. So if we look at other CPaaS companies and communication companies, we note that you are currently underperforming on growth and you said this yourself. But if we look at Twilio, 8x8, for example, so both on companies that have messaging assets and on voice assets. So if you could pinpoint why you think your outlook differs from some of the other larger participants.
Laurinda Pang: Sure. Yes. I think, first of all, I would say that the growth that we are seeing in the market is positive and we're starting to see that in some of our own volumes. Having said that, our guidance for our low to single-digit growth this year and then of course into Q4, has really been about the slowdown with our own operating system within Sinch, just because of the amount of change that we've put into the sales organization. That being said, again, we see positive trends in terms of the leading indicators for sales. So, I think when we -- when you combine the market getting healthier which again, we see positive and then the exit out of a lot of the change or the stabilization around a lot of the change that we have within Sinch, those 2 things combined are quite positive for Sinch over the midterm.
Roshan Saldanha: Maybe just adding a little bit context there, Predrag. I think in addition to all of that, as Laurinda said, I think it's important to understand that there is slight differences in kind of our customer mix and exposure and product mix. I think when it comes to messaging, we are more focused on -- historically on the larger enterprise market which, of course, has a different behavior, both in terms of volume and growth and price. And that's been favorable and beneficial for us in some periods and less so in others. And then on the voice side, a large part of the voice business that we have is towards telecom operators. This is reported specifically in the Network Connectivity Americas region. Then we do have voice exposure towards enterprises as well which is reported in other product areas. But I think that particular product segment has a different growth profile. So I think just keeping that in mind as well.
Predrag Stevanović: Okay, that makes sense. In the report and in the goodwill write-down analysis that you have, we can see that you assume an annual gross profit growth for Network Connectivity which ranges quite a bit. It's -- I think it was minus 2% to plus 7% over a 5-year period. What needs to happen for you to deliver in the higher end of this range? Because that would of course support the group quite a bit if you deliver there.
Roshan Saldanha: Yes. So thanks, Predrag, for the question. I think, firstly, I mean, like with all longer-term plans, right, I mean, there are assumptions and there are kind of underlying beliefs that underpin those plans. But there's a combination of things. I think obviously, we don't believe that, in terms of our exposure towards telecom operators, that we will see that part of the voice business will develop more positively than it does right now on a kind of volume -- on the volume side. And then, I think there are opportunities for us to expand that even if they are not there are more binary opportunities, right, in terms of whales that -- or larger customers that we can win. So that's definitely 1 driver in terms of adding customers. There are limited opportunities but there are some. And then, the second one is something that I referred to in my commentary around the Network Connectivity slide which has got to do with us using service virtualization, both to derisk our business in terms of reliance on older technology but also that it helps our cost and gets our cost down and that helps gross profit. And then, if I were to call out the third piece, I think we have an exciting product in the area of emergency services which has seen good traction and that's something that we can continue to develop. So I would say, I mean, basically, these 3 at least main drivers underpinning the higher end of that forecast.
Operator: The next question comes from Akhil Dattani from JPMorgan.
Akhil Dattani: I've got 2 as well, please, if I can. The first is just to understand a little bit better the change in messaging around the nearer-term growth. Laurinda, you mentioned in your opening remarks that you'd said 3 months back, that growth should be low single digit in the near term. And I guess if we look at Q3 and strip out the SEK40 million phasing-related issue, it's actually negative this quarter and I guess you're also talking down on Q4. So, I guess I'm trying to understand how or why things have changed so materially in such a short space of time. Obviously, you've mentioned a lot of internal changes in the organization. But is it just that's had a worse impact than you expected? Or are there other factors at play that explained why maybe things were a lot worse than expected in such a short period of time? That's the first question. And then the second question is just a follow-up to a question that was asked before but just to maybe frame it in a slightly different way. If we look at your peers, they're all quite constructive on the industry outlook and you've reiterated that you also feel that way. But I guess the challenge is that if we extrapolate what they're indicating for next year versus what you're seeing, it sounds like the gap gets bigger, not smaller in terms of relative growth. So I just wanted to understand, am I characterizing that correctly? Is it may be a bit more pain before you start to see the benefit? And if so, maybe why? Or am I maybe overplaying your comments a bit and should I understand it a bit differently?
Laurinda Pang: Yes. Thanks, Akhil. So on the first point about third quarter and then fourth quarter, what's changed since 3 months ago? Again, I think we did see a change in Americas within API Platform in the third quarter. And so everything else is as was expected and quite frankly -- and some actually performed a bit better than we had expected. So balanced out, we got to the third quarter results. As far as Q4 is concerned, we have not -- we are kind of continuing with the trend at this point because, to your point, we are in the middle of a lot of change. As far as the competition is concerned; yes, they're very bullish. And again, we see that as very -- quite positive because we will eventually get there as well. I think what's important to understand is, while we are saying that there will be a Q4 that is in the flat to potentially declining result for gross profit, it does create a slow start for us in 2025. But what we haven't talked about is what that means go forward. We talk about the entry point but -- and it will be low but it really is to call out a trajectory of growth from that point going forward. So we have not guided on 2025 at this point. When we do get together in 2 weeks from now and we talk about what the market opportunity and how we're thinking about the midterm, that will bridge it for you.
Akhil Dattani: Can I just ask a super quick follow-up? And I'm sorry if I've misunderstood this but if it's Americas API where there's been a deterioration, based on your disclosure, that's about 12% of gross profit. So obviously, it's relevant but it's not so big. So is it just it's been a very pronounced shift in that? Or just maybe if you could help me understand a little bit how that division is having such a big impact to the group.
Roshan Saldanha: Sorry, we didn't really follow that piece, unfortunately, Akhil. I think Americas API is a bit more than 12% I think Americas API gross profit was a higher number. So that is -- just to reiterate our message, that is the net negative over what we said earlier this year. Then of course, we -- yes.
Operator: The next question comes from Viktor Högberg from Danske Bank.
Viktor Högberg: So on the Q4 and Q1 guide, just to clarify, sales growth-driven or just gross margin-driven? Or is it demand or comps or costs, so to say? Or maybe it is what you talked about earlier, about the slightly lower prices to some U.S. customers due to the increased competitive pressure? Just the driver for the slower growth in Q4 and Q1, that will be helpful. And I have a follow-up on that.
Thomas Heath: Yes. So in terms of the -- Thomas here. So in terms of following up. I think when you look at the -- what slowed down and we calling out specifically API Platform in the Americas region. And within API Platform, specifically SMS. Recall that when we're looking at gross profit, that is sensitive both to revenues and costs. We're actually seeing improvement in revenues when you compare Q2 to Q3 but less so on the gross profit line with -- where any change gets a little bit enlarged just by the way the P&L works. And whilst we call out overall competitive landscape which is correct, there are multiple factors, right? It's a combination of how new sales is performing, how the base is expanding, competitive pressure and product mix and so forth, right? Of course, adding all of these factors together, we're ending up a little bit lower than what we had hoped for and anticipated for the end of the year which also, as we said, means we're starting from a somewhat lower base next year. But we have reason to believe we can improve from there on.
Viktor Högberg: Okay. And just another one on the new organizational setup. 150,000 customers, most are on just one product. So in theory, it sounds like a cross-sell. In reality, of course, it's not that easy. But what does clients say about your broader product offering? How do you plan to win those that you already have on SMS, for example but there are already on other e-mail solutions? So could you help us a bit on the practicalities on cross-sell? Maybe that's a topic for the SMB as well. But anything you can say there to help would be good as well.
Laurinda Pang: Sure. Yes, we'll have exact use cases for CMD, to your point, Fredrik [ph] but I would call it out in 2 ways. One is how do we approach the large enterprise? And then how do we enable small business, more of the longer tail of our customer base? And it really is 2 different approaches. On the smaller side, I made a comment earlier about the Single Sinch ID. It may seem simple to do but effectively, what we've done is we've opened up our dashboard, the ability for customers who -- to self-serve, be able to cross over into the other products now, to be able to easily sign up for those other products. So it's enabling them through online capabilities and self-serve capabilities. And as I mentioned in the comments, we are starting to see some of our first sales through that capability. Certainly more to be done but we're seeing the beginnings of that. On the enterprise side, we called out, specifically today, 2 large messaging customers who have agreed and contracted with us to purchase e-mail services. And these are large messaging but they are also large e-mail senders. And we have won those -- or that business from competitors. So the proposition makes sense to customers. What's really important for those sorts of opportunities is the deliverability rate is superior in our offering and that's in comparison to what the other competitors are delivering today. It's not a short sale. It's not an easy sale for the large enterprise, by the way, particularly when you're displacing another provider. So it does take time and it will take time to get them to ramp up to the full expectation. But your question was around, is it resonating? And we believe that it is. And so we can also see it not just in the deals that are won but we can also see it in how the pipeline is developing. And so we measure that across both cross-sell pipeline and upsell pipeline. And on the cross-sell side, it is exactly how it sounds which is you purchase one product from us today and we now have opportunities with you against another product suite.
Operator: The next question comes from Stefan Gauffin from DNB.
Stefan Gauffin: Yes, a couple of questions from me as well. First of all, on the cost side, you have already achieved SEK335 million in run rate OpEx savings but you still haven't fulfilled all the restructuring, as you've said, to come during the year. So does that mean that we should see further restructuring in Q4 and that the run rate savings will be larger than what you have here? Secondly just on Asia Pacific. There, you highlight slower growth in Australia and New Zealand. Can you just explain what you're seeing here? And what is the reason behind this?
Laurinda Pang: Sure. So Stefan, on the cost side, we're actually saying that we've concluded the program itself. We've achieved the objectives or exceeded the objectives that we had initially anticipated. Restructuring in fourth quarter will just be kind of a little bit of stragglers, if you will, from the reorganization, so it's very limited in fourth quarter. So I wouldn't to additional cost savings to come out of this initial round but we will have a little bit of restructuring charges in the fourth quarter. As far as Asia Pac is concerned, we did see it a little bit slower. It's at 12%. So it's lower sequentially but it's quite strong because when you compare it to we had a very strong third and fourth quarter last year in AsiaPac. So it's slower relative to the prior year and a little bit over second quarter. But again, it's because third and fourth quarter last year were significantly higher. We are seeing a little bit more competition in India. But again, we're -- we have a very strong offering as well as a very strong leadership team in India and good relationships with our customers. And so we expect to continue to be very competitive and deliver a lot of value out of that market.
Operator: The next question comes from Daniel Thorsson from ABG Sundal Collier.
Daniel Thorsson: I have a question on Q4 for as well but it's more related to the fact of previous years, you have said that into Q4, it all depends on how Black Week and Christmas play out for the consumer. But this year, you are quite explicit on the guidance. So why do you have such a good visibility on Q4 and early '25 to provide the guidance you do? And also at the same time, you blast out these PMs recently, that Black Week is expected to be strong and customers can't wait to start using RCS. So just to understand the potential swing factors to the guidance here.
Laurinda Pang: Sure. And we did not contemplate the opportunities within seasonality or within a potential upside in Black Friday. So we see the same seasonality as we normally would. But again, we're pressured with the Americas API. That's really what has changed, is what we saw in third quarter with regards to the Americas API performance. And so that's what's being baked into our fourth quarter view.
Roshan Saldanha: And I guess I think, just to stress that point. I mean, obviously, there's a lot of external factors. This is a transaction business. So yes, we're making these statements based on the visibility that we have. We believe that we are within a reasonable margin of error. But I think, again, if there were to be a blowout Black Week or Christmas, I mean, that's something we've factored in. We factored in similar seasonality, yes, as previous.
Thomas Heath: Then I think adding it on RCS and we'll come back to this at Capital Markets Day, of course. We're already delivering RCS messaging at significant volume. It's still very small compared to the scale of our SMS business and will not materially impact numbers in the very short term.
Daniel Thorsson: Yes. No, I see. I understand. And then just a second one, a short one. The balance sheet continues to delever. We see somewhat more M&A activity in the market which is being conducted at low multiples and should be accretive for you as well. Should we expect to see a return to M&A execution near term in Sinch as well?
Laurinda Pang: It's a great question. As you know, I think I've said in the past that we've been very quiet intentionally around M&A because of the integration work that we embarked upon earlier this year -- or late last year, I should say. And so the good news is, is that the reason for the work that we've been doing is to not only integrate our existing businesses but to be in a position to take on new M&A. And the reality is, is I believe that we're getting close to being able to do that. We will continue to be disciplined around M&A but our strategy still absolutely is about organic growth as well as inorganic growth. So we will look for those opportunities.
Operator: The next question comes from Daniel Djurberg from Handelsbanken.
Daniel Djurberg: Yes, I was thinking to ask about on the RCS side. Obviously, delivery rate is important in SMS messaging. Sinch has, over many years, built a massive number of direct CSP connections supporting price-competitiveness, quality and also adding some termination fee revenues. So my question is really if you can comment on the barrier of entry into the RCS compared with the barrier of entry into the legacy SMS where you have your stronghold?
Thomas Heath: Thanks for an interesting question. I think the first part to recognize that, if you're going to use RCS in the foreseeable future, you will also be using SMS for fallback which means that the complexity is additive for the foreseeable future from a business point of view. When we then look specifically at RCS, one of the reasons why we're excited is because some -- many of the key strengths that we have from the world of SMS carry through also into the world of RCS. Specifically, the fact that carriers are controlling terms and conditions and also pricing on a carrier-by-carrier basis or operator-by-operator basis within every country which requires a cloud communications provider to maintain those relationships, nurture those relationships, across the world. Secondly, RCS adds a range of new features and functionality but also introduces an element of complexity which means that the role as an adviser and be able to give guidance on best practice for business is amplified compared to the world of SMS which is more mature. And there is an area where we benefit from customer proximity and our presence across the world, also our experience with other conversational messaging formats like WhatsApp. So those are a few of the aspects. You look at third-party industry analysts, they expect the stronger players of SMS to take the lead in RCS. And we of course expect to benefit from our long-term investments in the space.
Daniel Djurberg: Perfect. Another one -- I guess we'll see. May I also ask you on the growth hurdles that you have from internal changes into the sales organization, for example? You also have the hurdle on the Americas API pricing. But can you comment a bit on the growth hurdles on the internal changes, if it will continue well into '25 on the back of the changes you do on the ERP side, CRM side and HR side, system side?
Laurinda Pang: Yes, I'll take that one, Daniel. I think the internal changes within the sales organization, we're already starting to see that settle. And that's the reason why I call out the leading indicators with pipeline and orders booked and some of the volume increases that we're starting to see. So that will only improve from here. Those changes that we've made within the sales organization is very disconnected from the IT changes. You mentioned the ERP work. Very different. But again, I think the indicators within the sales organization is that we're moving up and to the right. Now the challenge with those leading indicators is it takes a bit of time for it to translate into actual GP or top line revenue in GP ultimately. But we're moving in the right direction.
Operator: The next question comes from Thomas Nilsson from Nordea.
Thomas Nilsson: With a slower start to 2025 expected in combination with an increase in operating expenses, do you expect sales and adjusted EBITDA to increase in 2025 as compared to 2024? And my second question, with Twilio reporting organic sales growth of 10% in Q3, could you perhaps elaborate a bit more about what is the reason behind the significant difference in growth between Sinch and Twilio right now?
Laurinda Pang: So I'll take the second question first, Thomas and that is with regards to the Twilio versus Sinch growth rate. Again, as I've mentioned, I think it bodes very well for us in the market when they do well, right? The difference is that we are in the midst of transformation within Sinch. And so with the market being healthier but then our transformation is starting to see signs of leading indicators or are positive leading indicators, when those 2 aspects combine, that means very positive opportunities for Sinch in the future. The other difference I would call out and Roshan said it a little bit ago, is really the difference in mix between Twilio and Sinch. Sinch has been historically more reliant on large enterprise who have more international destinations that they send messages to. Whereas if I understand Twilio's business correctly, they're not as concentrated there. Now we also have an opportunity to shift the product mix and the customer mix within Sinch and we are doing that. So those would be the key callouts or the difference between Twilio and Sinch. And then Roshan, I'll ask you to take the first question which was around...
Roshan Saldanha: '25 growth rates, yes.
Laurinda Pang: '25 growth rates as it relates to EBITDA given the OpEx increase.
Roshan Saldanha: Yes. I'll be very brief there. Obviously, we are making these growth investments with the intention to accelerate growth. And we believe that, starting off from a low base, that we should see kind of progressive improvement. But we're not saying more than that at this point in time. Obviously, those investments, coupled with the lower GP growth rate, means a marginal decline in adjusted EBITDA margin during a transitionary period. Our objective is to continue to be very cautious with cost control and cash flow and therefore limit that impact as much as possible.
Laurinda Pang: Yes. But I would also reiterate the fact that this has been part of the plan, right? Which was we would look for these initial efficiencies which we have accomplished. And that we would look to reinvest them back into the business. So that's the timing difference that Roshan is talking about.
Operator: The next question comes from Laura Metayer from Morgan Stanley.
Laura Metayer: So you mentioned that Sinch was obviously impacted from a growth perspective because of the internal changes. Do you mind giving a bit more detail in terms of what exactly is happening? For example, is it that you're not winning new clients? Or are you losing existing clients because of the changes in the sales force? Like if you can give a bit more detail, that would be really helpful. And second question on RCS. So one of your peers said that they don't expect RCS to have an impact on their revenue or margin. I understand from your comments that you think that it will be tailwind. Why do you think it should be a tailwind for Sinch specifically?
Laurinda Pang: Sure. So Laura, with regards to the sales changes, it's not about not winning new customers or losing our existing customers. In fact, it's quite stable from that perspective. We did note the pricing pressures in the market, particularly in the Americas that we're seeing, that had an impact on the base somewhat. But the changes that we've -- that have happened within the sales organization is -- organizationally, they've been pulled from being very focused on a particular product set to being -- having the ability and accountability to sell the broader Sinch portfolio. And with that also came a change of customer relationships or account management assignments. Sorry, I lost that word for a second. And so again, everybody goes through their own change curve, right? And so what I'm saying when I highlight the leading indicators is -- and by the way, those were just a few of the changes. But when I highlight the leading indicators, what I'm trying to articulate is the fact that, while we have slowed down, we are starting to see the sales organization come out of that change curve in a positive way. And so the reality, though, is that it does take some time. Again, we had anticipated that with the guidance that we gave initially and we're seeing positivity. So that's the state of play there. With regards to RCS, I think we're very bullish with regards to RCS' place in the market going forward. The reality is it will take some time. So I can't say exactly what our peers have said other than what this means for Sinch. And from a Sinch perspective, we expect that the initial phase of RCS will be almost a substitution for SMS. It is the next phase or the next evolution of SMS but it does act as a substitution first. So we don't see much upside for that but it does defend the base, it does protect the current business that we have with our SMS customers. So that's the first aspect. But there are 2 very important phases of RCS that follow that. The first -- or the second phase is the fact that there is an ability to send much more rich media, rich messages via RCS. That allows brands to be able to be much more dynamic with their customers and much more compelling, particularly in marketing use cases. That's one phase. The third phase, ultimately, is to be able to have a conversation with your customers. So it's a much more interactive experience and it's over the course of a session as opposed to individual messages that are being pinged to their end users. And when you get into those rich conversations with your customers, again, you have the ability not just to send messages, not just to send rich messages but you have the ability to build carousels and to buy and to pay in your message, in your messaging app as opposed to moving out of messaging app which is so fundamental to how we all operate day in, day out. That becomes a much more rich experience that generates revenue and creates brand loyalty for these customers. And we already know, at least from a preliminary standpoint, that the pricing models associated with each of those phases incrementally grow in comparison to SMS. So again, we remain bullish. We think we have a strong position with what Thomas talked about earlier with our carrier relationships, the infrastructure that we've built, the team that has a tremendous amount of expertise in this space and the fact that our customers are very excited and leaning into this with us.
Operator: The next question comes from Deepshikha Agarwal from Goldman Sachs.
Deepshikha Agarwal: I just have like two. So first of all, in the context of the growth indication for the fourth quarter being flat to down and a slow start, like -- and then a gradual improvement from there. What is, from your current like vantage point, how do you see that growth improving? Will it be like -- will it be an exit rate for 2025 of more like high to low double -- high single digit to low double digit? Or is it like -- basically, how should we think about the growth improvement trajectory through the course of 2025? And the second one is basically on the OpEx. Like you alluded to increasing OpEx. And we definitely saw the OpEx decrease in the third quarter sequentially. So will it be like the OpEx will -- like the savings are done and you'll have a full run rate of savings. But because of the investments, now you will gradually have an increase in OpEx for the next few quarters because of the investments that need to be done over and above the savings that will be generated?
Laurinda Pang: Sure. Thanks, Deepshikha. So first of all, from a Q4 to 2025, you said it exactly right which is we gave specific guidance for Q4 and we said we would have a slow start to 2025. But we did say also on this call that we would grow from there. So it is intended to give you a forward and increasing trajectory but we're not giving guidance for all of 2025. Again, when we meet together in 2 weeks, we'll give more view on what the market looks like over the mid- to long term and we'll have a discussion there. And that will help bridge from where we are to where we think the market is over the next several years. As it relates to OpEx in Q3, you're exactly right. OpEx was flat year-over-year. And that is a combination of the cost savings that we were able to generate through the organizational model shift but it also was countered with the fact that we have regular inflation as well as merit for our employees. About 70% of our OpEx is employee-related costs. And so merit, that did hit us in Q3, for a full Q3, was absorbed by some of the savings that we had generated. I do not anticipate further savings in the rest of this year. But the message that we sent with regards to OpEx -- slight OpEx increases in 2025 is all around the invest for grow approach. We said that we were looking for synergies earlier the year which again, we've delivered and that we would invest it back into areas of growth. All of those investments are related to both product, sales and marketing. These are investments where we know exactly what the business case, as well as what we expect, that we'll have business plans associated with all of them.
Thomas Heath: Can we have our final question for the day, please, operator?
Operator: The next question comes from Justin Funnell from Nextgen.
Justin Funnell: Yes. Hope you can hear me okay.
Laurinda Pang: Yes, we can.
Justin Funnell: And so kind of another Twilio question, really. They seem to be starting to get some benefits from integrating AI and GenAI, not just on the cost side but actually on the product side. Some of their engagement products seem to be working better. That seems to drive or partly drive the pickup in their revenue issue in Q4 and the stock up. I guess a simple question is how far away is Sinch from seeing the same trend? And do you need to invest in product to get there?
Thomas Heath: Thanks, Justin. Good question. We are investing in AI for sure across our product sets and AI being implemented both for internal uses but also in customer-facing applications, to help and improve businesses create good customer experiences. So there is a very direct aspect of building AI into product which is ongoing and where of course we expect to see increased effect on financial performance over time. But there's also an indirect aspect in the sense of what AI does for businesses as they look to leverage digital communications. AI unlocks a lot of the -- or removes a lot of the bottlenecks that have historically been associated with servicing customers. It's now possible to service customers individually, uniquely, 1 by 1, through the channels that they use and love in a much more targeted and tailored fashion. So this is a larger theme that will roll out over multiple years as we see it and of course a growth contributor over time.
Justin Funnell: If I can follow up. So is this something that will help for revenues in '25? Or do you need to invest in that area first?
Thomas Heath: We are investing. And we expect it to contribute gradually. And with that, thank you, everyone, for participating today in today's call.
Laurinda Pang: Yes. Thanks very much, Thomas. And again, I would just summarize the quarter in the following way which is the -- overall, I would say stable performance. We exceeded our gross savings targets and we delivered 1 quarter ahead of plan. We had strong cash generation in the quarter with over 60% cash conversion in the recent 12 months. We delevered once again to 1.6x net EBITDA to adjusted -- I'm sorry, net debt to adjusted EBITDA. We have stable margins and growth is within our expectations. While it is low, it was within our expectations and below our aspirations. I look forward to seeing or hearing from many of you in the next 2 weeks with regards to CMD. And I would remind you again, if you do plan to join us, to please to register so that we have room in the facility for you. Thank you very much for your interest and your questions. And I will leave you with that. [Call ends abruptly]